Operator: Good day ladies and gentlemen. Thank you for standing by and welcome to the Niu Technologies First Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, we are recording today’s call. If you have any objections, you may disconnect at this time. Now I will turn the call over to Mr. Jason Yang, Investor Relations Manager of Niu Technologies. Mr. Yang, please go ahead.
Jason Yang: Thank you, Operator. Hello everyone. Welcome to today’s conference call to discuss Niu Technologies’ results for the first quarter of 2021. The earnings press release, corporate presentation, and financial spreadsheets have been posted on Niu’s Investor Relations website. This call is being webcast from the company’s IR website and a replay of the call will be available soon. Please note today’s discussion will contain forward-looking statements made under the Safe Harbor provisions of the United States Private Securities Litigation Reform Act of 1995. Forward-looking statements involve risks, uncertainties, assumptions and other factors. The company’s actual results may be materially different from those expressed today. Further information regarding the risk factors is included in the company’s public filings with the Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements except as required by law. Our earnings press release and this call includes discussions of certain non-GAAP financial measures. The press release contains a definition of non-GAAP financial measures and a reconciliation of GAAP to non-GAAP financial results. On the call with me today are our CEO, Dr. Yan Li and the CFO, Mr. Hardy Zhang. Now let me turn the call over to Yan.
Yan Li: Thanks Jason, and thanks everyone for joining us on the call today. So in Q1 we saw a 322% year-over-year jump in China sales. We shipped nearly 145,000 units in China propelled by an aggressive expansion of our retail footprint and a multichannel marketing campaign nicknamed the Year of Niu. Additionally our overseas market saw shipments of 5000 units for the first quarter. The small decline of 15% in the overseas market was primarily due to the orders that could not be shipped out, resulting from the ongoing global shipping bottlenecks you are all aware of. The total Q1 sales both China and international markets were up 273% year-over-year. In Q1 not even the Chinese New Year holiday could slowdown our retail expansion. We added 300 new branded stores across China, reaching 1916 stores by March 31. During our global product launch event on April 06, we announced the opening of our 2000th store in China. We are well on track to hit our Q2 target of 300 new stores for the quarter. For the internal market, even under the restriction of COVID-19, we managed to add an addition 7 flagship and premium stores, which now totaled 123 across Europe, the Americas and Southeast Asia. This is in addition to the 1000 plus outright new dealers in our global markets. For those of you who didn’t already know, our company name Niu actually means bull or ox in English. The year of 2021 happens to be the year of ox in the Chinese lunar calendar. So we kick off the Chinese year by launching the year of Niu be a Niu nationwide campaign. We listed help of popular musicians and social medial influencers which generated more than 200 million views across multiple social media platforms during the holiday season. We also kicked off and over the air advertisement campaign during the Chinese New Year, which allowed us targeting over 110 million viewers across markets in China that we have identified as key to helping us accelerate our growth. We also collaborated with one of the hottest online documentary series called Exotic Food on Bilibili, which helped us target another 41 million viewers in the key demographic segments. Our Niu branded [indiscernible] accounts also benefited from those activities with quarterly view reaching nearly 55 million views in Q1 marking a 38% year-over-year increase. Now in the overseas markets, our social media channels gained nearly 1 million interactions on Instagram and Facebook. We also announced our partnership with Formula E World Champion, António Félix da Costa as our official new ambassador and kicked off our partnership with Line in the key U.S. and European markets, which will help accelerate adoption of electric two wheelers. We have been making noise both in China and overseas markets, in order to position ourselves as the go to lifestyle brand for urban mobility and helping us grow sales by more than 300% in China alone. Now riding our strong sales and marketing performance in Q1, we hit the ground running on April 6, with our global product launch, simultaneously announcing both China and international product releases. Building upon the customer demand for our GOVA series of electric moped, we launched a GOVA F series with F0, F2 and F4 and a GOVA C series with C0. These are two key products that will help us expanding into the wide range of urban market and the customer segments around China. During that same event, we launched our first electric kick-scooter for Europe and United States, the KQi series. These five new products were also accompanied by four upgrades to our existing QFC mopeds and electric bicycles. First over to the existing electric bicycle mopeds are made under the hood. First, we are very excited with the launch of 7th generation of our new energy system, which saw upgrade of our proprietary battery management system, the introduction of E tech electric motor and the optimization of SOC algorithm for the motor controller, which kind of improved the driving range up by to 32% and our and we saw our base of the motor and ultimate vision of all the other for the motor controller which kind of improved the driving range up by up to 32% and improved accelerating by 10% to 15% and then the same motor power in most of our existing vehicles. And lastly, as we finalized the commercialized version of our urban motorcycle, the RQi, we have made great strides of our mountain motor that can reach speeds of 160 km/h. As for our product upgrades, that started with a brand new MQi to add. Upgrade of 2020 MQi 2 which served as our classic product under the New China National Standard for electric bicycles. The Niu [indiscernible] is encrypted with our latest IoT technology, a color display with navigation that can mirror your mobile phone, the [indiscernible] system with distance sensing and keyless ignition which will help our user to start a bike as soon as they sit on the seat. It is still small. User experience our our customers really appreciate. And to add expected to be prices at up to RMB 8000 and we also upgraded our traffic UQi series with all new color display, a now handlebar design with more intuitive control function and most importantly we have given customers the option to upgrade to a larger battery which increased the driving range by 35% or up to 75 km on a single charge on the Niu UQi. The actual UQi series is expected to be priced at up to RMB 6000. For the new product we launched two NIU GOVA series, the GOVA F and the GOVA C series. Those two new series employ a whole new design language for the electric bike in China which will further expand our offerings for the mid and prior lines which help us to reach a wider range of customers taste. Inside GOVA F series we announced three new models, the F0, F2 and F4. F0 and F2 are attached by an electric bicycle in China and we're introducing to the market on April 6 and May 17, respectively. The F4 is an electric motorcycle and will be introduced later this year in Q3. The entire global F series have a masculine design sale which features the Eagle Eye headlights. All of those models are lithium-ion battery based. The F0 has two versions, primarily differentiated by the battery and drive range of 50 and 60 km respectively, affordably priced at RMB 2899 and the 3299 respectively. We believe those will be well received by the market. Our beliefs were confirmed when we launched the GOVA F0 through the JD.com presales on April 6, where we sold 41,000 units and surpassed more than RMB 100 million in sales, setting the JD.com presale record for urban mobility products. The F2 has two versions, 50 km and 70 km range options priced at RMB 3699 and the RMB 4099. The F4 has three versions with drive range up to 100 km and expected to be priced at up to RMB 7000. Now under the GOVA C series, we had first announced the C0 electric bicycle with a more Finland [ph] design style. The GOVA C0 comes with multiple macaroni [ph] dessert flavored color choices and a wide variety of accessories including child seat enable mothers to ride safely to take their children to and from school every day. The GOVA C0 also has two versions with a drive range from 50 km to 60 km and expected to be priced around RMB 3000. Since first announcing the C0 in April, we have received countless solicitations both online and in our stores around the country, we expect to release the C0 for sales starting in June. Now the GOVA F series and C series significantly expand our GOVA product line portfolios. The successful pre-build campaign for the F0 is direct evidence that there is a large group of consumers who appreciate the design style and aesthetics. Together with the key series, the three GOVA lines will offer our customers a thoroughly designed product that meets their taste and desires while being competitively priced and backed by our best in class technologies. Now last, but not least, we launched a completely new category in the Niu ecosystem of products with our KQi kick-scooter. The urban mobility trends are changing around the world as customers adopt new models of safe transport and the cities began to reshape their urban centers. Our electric moped and motorcycles offer one type of mobility solution for customers in cities across Europe, the Americas and Southeast Asia. We also recognized a rapid growth user demand for micro mobility products that cater to shorter one to five kilometer trips, and this is primarily being fueled by electric kick-scooters in both sharing and the consumer own form factors. Now the orders to meet this demand and add our product lines we have rapidly evolved a team of seasoned engineers who are specialized in the development and manufacturing of micro mobility products. The all new KQi 3 kick-scooter will be the first of several models we will release in the coming months for the key overseas markets. Now equipped with the best in class 350 watts rear hub motor and powered by our 48 volt Nui energy system, and with a wider and safer platform deck and the handlebar factor and wider tires, the KQi 3 will also for many of the similar priced products in the markets in both performance and riding stability. And of course, like all our products, the KQi 3 is app connected. The KQi 3 has a pro and sports version and will be priced from U.S. $599 in the United States and €599 in Europe. Online presale will begin in the coming weeks with deliveries directly to the customer homes later in summer in Europe and the United States. Now, in addition to our current 1000 plus outright Niu dealers, the introduction of a kick-scooter will also allow us to open new range of retail channels that were previously not ideal for our electric moped, including big box retail and electronic chains like Best Buy, MediaMarkt, micro-mobility retailers, and online platforms like Amazon [ph]. Now I want to wrap up with a short comment about ramping up our manufacturing capacity. For those of you who have been following along for the past few quarters, you know we have planned to increase our manufacturing capacity by an additional 1 million units per year when we complete the Phase 2 of our Changzhou factory. We expect the Phase 2 to be completed by early Q3 which will bring our total annual design capacity to 2 million units easily supporting the projected growth in the quarters ahead. Now with this, let me turn to Hardy to talk about financials.
Hardy Zhang: Thank you, Yan, and hello, everyone. Our press release contains all the figures and comparisons you need. We have also uploaded Excel formatted figures to our IR website for easy reference. As I review our financial performance, we are referring to the first quarter figures, unless I say otherwise, and that all monetary figures are in RMB, unless otherwise noted. Our Q1 sales volume reached 150,000 units, representing a 273% year-over-year growth. China sales volume increased by 322% as a result of retail sales network expansion and effective branding activities. International sales volume however declined by 15% due to COVID-19, especially the recent lockdowns in Europe and a more challenging environment for international shipping. In March, the Suez Canal was locked for a week and many ships were delayed or cancelled. We were not able to deliver our products on time. The situation has improved gradually since April and we are catching up on the deliveries. With regards to product mix, N series accounted for 9% of total sales volume partially due to the lower international sales. M series accounted for 13%. U series accounted for 21%, and GOVA series accounted for 57%. Out of the 57% from GOVA series, 38% was from the mid-end product G0 [ph] model and 14% was from G2 model. In China, the COVID-19 rebounded in Q1 which helped to accelerate the adoption of electric bicycles, because many people pay more attention to social distancing and they try to avoid public transportation. GOVA series was a very popular choice for many new customers considering its attractive retail price. This is the key reason for GOVA series taking a larger proportion of sales in Q1. Total revenues increased by 135% to RMB 547 million, above the guidance we provided earlier, mainly due to the higher China sales volume and stronger sales in accessories and spare parts. The revenues from accessories, spare parts and services reached RMB 102 million representing 118% year-over-year growth. The strong sales came from both China and International markets. Sales from China market increased by 111% due to strong offline sales and International markets increased by 123% due to strong sales of battery packs to sharing operators. The ASP declined by 37% year-over-year. Let's look at the detailed reasons. For China market, the scooter ASP decreased by 27%, mainly due to the sales of low priced G0 and G2 models as well as sales discount offered. Out of this 27% decline, around a 20% was caused by the sales of these two models. The remaining 7% was due to the change in other production mix. For international markets, the scooter ASP decreased by 15%. The decrease was caused by depreciation of U.S. dollar, and also more significantly, the change in the way distributor placed orders. In Q1, many distributors chose to place separate orders for scooter body and the battery pack, so as to reduce their international shipping costs. As a result of such separate orders, battery pack sales were booked as accessories and spare parts revenue instead of scooter revenue. After we normalize this impact, the ASP for International sales only decreased by around 5% or in other words, out of the total 15% ASP declined for International sales, around 10% was caused by the way of separate orders and around 5% was caused by depreciation of U.S. dollar. This way of separate ordering will likely continue into Q2 and Q3 considering the increasing costs for International shipping. For the ASP of accessories, spare parts and services, it was RMB 682 per scooter, 42% decrease compared with Q1 last year. The decline was mainly due to the very low volume base in Q1 last year, which was only around 40,000 units. Because of the very low volume base ASP for accessories, spare parts and services was of abnormally high last year. If you compare the ASP with Q2, Q3 and Q4 last year, our Q1 ASP actually increased. Our revenues from accessories, spare parts and services do not fluctuate as much as the sales volume because a portion of the sales came from existing customers, for example, the data service and some accessories. In summary, even though our ASP was down by 37%, after considering the factors mentioned above, the International scooter ASP for accessories, spare parts and service ASP were both stable compared with early quarters. The decline of China ASP follows a similar trend as what we used for in Q3 and Q4 last year, due to the launch of GOVA series. In April, we launched the F0 model, and the sales price for F0 model was RMB 200 higher than G0. We also expect the product mix in China to improve in the second quarter, both will help to stabilize our China's scooter ASP. Gross margin was 23.8%, 0.2 percentage points higher than this time last year. There are three key drivers. First, the sales of low margin models like G0 and G2 reduced our margin by around 4%. Second, the lower proportion of revenue from high margin International sales, reduced our margin by around 3%. Third, the cost savings on components, raw materials and lower other costs for example, manufacturing and labor cost benefited from economies of scale increased our margin by around 7%. In summary, the impact from unfavorable changes in product mix was offset by various cost savings. This is the key reason for stable margin in Q1. In the past few months, we have seen the commodity prices continue to rise, which affected our raw material procurement costs by 5% to 10%. To mitigate the impact on gross margins, we increased retail sales price by RMB 100 to RMB 300 or 1.5% to 7.5% for selective models in China in May. We may have another price increase for additional models together with performance upgrade in the coming months. We believe the price increases are affordable and reasonable for our customers. These price adjustments will help us to stabilize ASP and also to mitigate the negative impact on our gross margins. Our total operating expenses excluding share based compensation were up RMB 118 million, increased by RMB 35 million or 42% year-over-year. The increase was mainly caused by the higher sales and marketing expense of RMB 20 million for branding activities during Chinese New Year, RMB 4 million for retail sales network expansion, RMB 80 million for higher staff cost, and around RMB 6 million for foreign exchange loss. Our sales and marketing expenses were particularly high this quarter, mainly due to the branding expenditures associated with Chinese New Year event mentioned earlier. As a percentage of revenues, our operating expenses including share based compensation was 22%, lower than the 36% in Q1 last year, but higher than other quarters in 2020. In the coming quarters, we expect the operating expense as potential revenue will fall back to the regular level similar to early quarters. Our government grant was RMB 0.4 million in Q1, decreased by RMB 7 million compared with last year due to the delayed payment from governments. In May, we received a grant of RMB 41 million and a part of that will be booked into the P&L in the second quarter. Our income tax expense was RMB 9 million, much higher than the same period last year, mainly because some entities within the Group become profitable and has used accumulated a loss [ph]. This quarter even though our consolidated profit before tax was only around RMB 4 million, we booked a RMB 9 million tax benefits for a few reasons. First, some expenses are not tax deductible. For example, share based compensation; you'll need to add that back before calculating income tax expense. Secondly, the profit and loss were not evenly distributed among different entities or companies within the group, because we need to pay tax based on each company as a group. For example, in Q1, the company for China sales was very profitable, but the company for International sales make a big loss. We have intergroup transfer pricing arrangements to redistribute the profit, but that will take time to adjust. If you take a longer term view, the profit will be more evenly distributed and the impact will be mitigated. So the tax rate applied is average tax rate calculated based on full year forecast instead of one specific quarter. For this year, we expect the average tax rate will be around 15% on full year basis. Our GAAP net loss was RMB 5.4 million, but after adjustment of share based compensation, we made a profit of RMB 6.7 million, improved by more than RMB 20 million, RMB 25 million compared with Q1 last year. We made a GAAP loss this quarter mainly due to the higher brand expenses. We believe the brand expenditures are more investment in nature was well spending that increased our brand awareness and we will support our continued growth. Turning to our balance sheet and cash flow. We ended the quarter with RMB 1 billion cash term deposits and short term investment. Our operating cash flow was negative RMB 16 million, mainly due to prepayment for raw materials in order to secure supply for production. Our Q1 CapEx was around RMB 64 million, mainly related to capacity expansion of RMB 13 million, new store building of RMB 48 million and R&D spending of RMB 3 million. Now let's turn to guidance. We expect second quarter revenues to be in the range of RMB 900 million to RMB 1013 million, an increase of 40% to 60% year-over-year. With that, let's now open the call for any questions that you may have for us. Operator, please go ahead.
Operator: Certainly, sir. [Operator Instructions] We have the first question this is coming from the line of Alex Potter from Piper Sandler. Please go ahead.
Alexander Potter: Hi, guys. Thanks very much. So I guess the first question I have is just on gross margin. In the coming quarters, there's really a lot of moving parts right now. There's new products that are coming in at different price points. There's raw material, inflation, there's, this battery shipment issue. It's all kinds of different things. Some are positive, some are negative. Last quarter, I think you had said that you expected gross margin for this year to be roughly similar to what it was last year. Do you still feel that way or are you reassessing after viewing some of these new changes?
Hardy Zhang: Thanks, Alex for the question. For us, we still want to maintain a similar margin as what we delivered last year. That's why in May we increase our retail sales price by 1.5%, to 7.5% and we may make another price adjustment in later months based on how the raw material inflation goes, also based on the pace of new product launch. For the second quarter, of course, our marketing will be a little bit challenging, because we began to see the price increase since April, but we increased retail sales price only from early May. So there's one month lagging for the price increase. For the second quarter, currently, we estimate our gross margin will be anywhere between 20% to 22%, but in Q3, Q4, we still want to target around 22% to 23%. And the thing within our hand is price increase. And also we will also renegotiate some of the costs with our suppliers to secure additional cost savings. So this is the answer to your first question, Alex.
Alexander Potter: Okay, great. That's super helpful. So then maybe a little bit more on the cost pressure, the inflation? I know, obviously, inflation is a topic that a lot of people are thinking about right now. What specifically is it within your supply chain? Is it primarily batteries or is it basically across the board price inflation of all kinds of components and raw materials?
Hardy Zhang: So it's across the board. It is because our components are also involved with steel, plastics, and also battery sales. Most of the raw materials, we see the price increases, is very much linked with overall commodity prices increase.
Yan Li: So I think basically, in the last few months or so we've actually seen this price increase starting in later March, and then it’s actually hit us March and April and we started seeing that some of the raw material price actually hit the peak in early May. So we actually had increased our product price to reflect the sort of the latest update in terms of the bond price price. So going forward, I mean, hopefully we'll see the raw material price will stabilize that actually potentially could start to decrease.
Alexander Potter: Okay, great. I'm interested also on this topic of splitting apart battery shipments versus the scooter shipments. Is this a tariff issue? How exactly do international importers save money by taking delivery of the battery pack separately from the scooter body?
Hardy Zhang: Yes, the reason is a, list is the, because of the shortage of containers, the international shipping companies become more strict on the cargo can be shipped. For the battery pack, because we have a lithium battery within that, it was treated as dangerous cargo. Therefore, the shipping company will charge much higher tariff for anything which has lithium battery within it. If we separate the order between the battery pack and the body, the body part can still be treated as a regular cargo, whereas the shipping tariff is much lower than the dangerous cargo. So the difference is more, whether it's dangerous cargo it is regular cargo. That's the key reason besides the different tariffs. The different tariff is mainly in the U.S., in the U.S. there are different tariffs on battery pack and body parts. That it because of the shortage of the container shipping company because very, very strict on what kind of thing allowed within the container. Therefore, they check all the things there for many ships and many distributors try to put them separately to enjoy a lower tariff for the regular cargo. So that's the background.
Alexander Potter: Interesting. Okay, very good. Thanks, I appreciate it. I'll pass it on.
Operator: We have the next question. This is coming from the line of Vincent Yu from Needham & Company. Please go ahead.
Vincent Yu: Thank you, management, for taking my question. I have three questions. First one is, so we have a very strong between [ph] number for first quarter ended a strong, and the store opening pace all seems to be on track. My question is, how should we think about the previously guidance to sell more than 1 million units for 2020? Is there a higher annual number that we are comfortable that we will be able to hit after the strong quarter? My second question is in rate [ph] sharing platform for our international business. So we have seen continued investments by made by rate [ph] sharing platforms into the scooter riding share markets and talk a little bit more about what should we think about challenges and the opportunities that such trends brings for Niu. And my last question is that for the new vehicle, new energy vehicle industry having seen chip shortage, we know we are, we have less demand for some chips, but we also have quite some chips associated with our app. What kind of effects we have on our products in terms of margin or production schedule, if there's any? Thank you.
Hardy Zhang: Sure, let me give the four categories for the three questions and Yan will begin to supplement. First of all, the mall opening, definitely we are on track to achieve our target. We have opened 300 in Q1, we're going to open at least another 300 in the second quarter. With the mall opening definitely we do see the volume continue to grow. And definitely in Q1 we give -- in March, we give a guidance of 900,000 unit volumes 1.1 million units; we do see potential upside for the volume growth. But I think we will wait until the end of Q2 before we make an adjustment for our full year forecast. So this is more on first question. For the second question about the ride sharing business. We are mainly supporting the ride sharing business in the international market and we do see the demand continue to go very, very strong, because during COVID, we do see people pay more attention to social distancing. And maybe there's also fast adoption of electric two wheelers in the overseas market. Some of our sharing operators are ready to, started to deploy our vehicles in many cities across the world. And that is very positive for our business growth in both the second quarter also in the quarters had. And that's we believe that's not only a short term momentum, let's maybe change the people's behavior in the longer term as if our full upside in the longer term. For the third question about the chip shortage. First of all, we do see the threat for chip shortage. However, compared with the EV manufacture, the chips we use in our scooters are less complex, complicated compared with the EV manufacturer. Therefore, we are able to secure majority of the things we want to get. Currently we need to give a three to six months rolling forecast as well as suppliers. Somehow we also need to make a small prepayment to secure the supply. Therefore, we do see the challenges, but so far we have some action we can take to mitigate the impact, so I believe other comments here.
Hardy Zhang: I think that captured as, I think the only thing to add is basically when we initially announced about 1 million plus units, I think that's the only talked about scooters and mopeds. So it hasn't really covered our new products like kick-scooters, obviously, the kick-scooters will be, we already announced that it be on pre sales in the next month or so and then will be shipped basically in early Q3, so that will actually start adding more volumes in addition to the 1 million mopeds, scooters.
Vincent Yu: Got it. Thank you very much.
Operator: Thank you. We have the next question. This is coming from the line of Xinchi Yin from CITIC. Please go ahead.
Xinchi Yin: Hi, thanks for Yan, Hardy and Jason for your interpretation of first quarter results. So I have two questions. The first is about the expense, so the selling expense, in the first quarter increased a lot we can see. Hardy has just explained that we adopt more price discounts and also other marketing activities. So I want to know that is it caused by the Morpheus competition or just due to our subjective real or how to see the trends in the future? And also, my question is, second question now, we can see number of stores increase by 300 in the first quarter, so maintaining record growth. What is the original distribution of new stores? Can we see an obvious trend of more stores opening in lower tier cities and with also our new products? FMC here is targeting more our mass medium market. So what is the proper price range we can expect in the future? These two questions. Thank you.
Hardy Zhang: Thanks again for the question. Let me answer the first one about expenses, the sales and marketing expenses, the very high amount it was mainly due to the branding activities we made if you in the Chinese new year, this year, due the Chinese New Year's the year of the ox, so in China, we call it new year. Because of that we spend quite some money for the branding purpose. We also in case a very popular singer, who take a video and have us to spread the news brand. So it's mainly for the branding purpose instead of for pure marketing purpose, because Chinese New Year is kind of a one off event for doing to work. Therefore, we do not expect the marketing expense to be continued to be very high percentage of revenue, we do believe the percentage of your four back to the normal level. That's what we see in other quarters. So this is answer to your first question. For the second question on the stock distribution I will ask Hardy again to comment on that.
Yan Li: Right. So I think just quickly to on comment on the stores just towards more, more just towards the lower tier cities, basically Tier 2, Tier 3 and some of the Tier 4 cities. I supposed to be initiative Tier 1 cities, I think this is the part -- partially driven the fast or expansions really driven by our, what we call our suitable products for lower tier cities. Basically, the three series that they go with tiers, they go with G Series and G0 actually go F theories coming in April. And I think and hopefully also the G0 series coming in June and July. So we actually think I should started seeing the start seeing in the Q4, we start seeing that phenomenon where with the suitable products, and we have actually have a strong brand recognition and brand name in the lower to lower tier cities. But in the past, we just don't have a suitable product for those cities to open more stores. We actually -- the store opening speed is basically we hopefully to maintain a constant speed of at least 300 stores this per quarter.
Xinchi Yin: Yes, got it. So what is maybe proper press range ever set a price we can expect in the future, maybe RMB 3500 to RMB 4000 this week?
Yan Li: Do you mean, the blended ASP for the coming quarter, I think it'll be will be similar. Yes, I think it will be similar to what we achieved in Q3 last year, there'll be will be similar to what we achieved in Q3 last year is around 3500. And then we have a potential upside up to 4000 depending on two things first, about the price increase how much we get that and whether we continue to increase the retail sales price. Secondly, it depends on the recovery of international sales, the more quicker the international market began to recover, the more quicker we can solve the shipping problems, then, of course, we are going to have more and more suddenly, it also depends on the sharing business. Because part one once the key contribution for our highest – coming from the battery packs sales to share operators. If the adoption rate of sharing vehicle in overseas markets become higher and higher than the sharing operator, we will continue to purchase the battery pack. I mean, this is the three key drivers for the potential from RMB3500 to moving towards the RMB4000 in the future quarter.
Xinchi Yin: Okay, got it. Thank you.
Operator: We have our next question. This is coming from Bin Wang from Credit Suisse. Please go ahead.
Bin Wang: Thank you. My first one is about sales momentum in April and further two weeks off road, maybe because he actually keeps kind of cut of team. And first two weeks off for me because actually gives some kind of [indiscernible] ads in April. So that's why I just wondering you can share about social momentum in the past one half months? That's number one. And number two is about the margin. I actually gave a key guidance for the second quarter. I just have one complaint, so don't [indiscernible] about 20% to 23% in the second quarter. And the second half will be 22% to 23% assume this is the gross margin guidance roll up either net margin likely because in the first quarter, we've done a similar or even higher gross margin by zero in the [indiscernible]. So what should we expect in the bottom right, that margin should be around 5%, 6%? Thank you.
Hardy Zhang: Sure, I think for the first question about the sales momentum. I think our sales continues to be very strong in April. I think our sales growth was more than 60% close to 7% growth in April. And that's what still with a backlog of quite a lot as the [indiscernible] role models. Well, we were not able to deliver April and we continue to deliver some of the pre sales orders in May. So in short, we do see quite a good momentum into the second quarter. That's why while we gave the revenue guidance give 40% to 60% is very, very relatively wide guidance, mainly because they're trying to 60% is very, very relatively wide the guidance mainly because there's too many uncertainty about the delivery, shortage, et cetera. So in general, we do see continue the sales – most strong sales momentum. In terms of gross margin, I think you're right, I mean, the second quarter we are looking to achieve anywhere between 20% to 22%. And in the remaining two quarters, we target anywhere between 20% to 23%. So our annual basis is likely we end up somewhere around 22%. That's how we see the gross margin potential. Of course, there are so many moving parts, as I mentioned earlier, there's commodity price increase, there's so much battery, this makes things complicated. Also, there are so many things coming from our international market. The international market has a significant impact on our gross margin, but our target is to maintain that. And we have price increase toward the, in our hands, we can manage that. There's also quite a few other things like launching new kick UI [indiscernible] to help with that. So that's the answer for your second question.
Bin Wang: Actually, you are talking about a profit margin, right, because in the first quarter, you have a pretty decent gross margin, but I actually have a zero in the bottom line. So my question is about the autumn line so maybe, fair.
Hardy Zhang: Yes, I think in terms of bottom line, the after gross margin, what will be next is the operating expenses potential revenue, so is that the operating expense, the operating expense is present in revenue in Q2, Q3, Q4 will be similar to what we achieved last year. So Q1 is kind of a special case, because we spend a lot in the sales and marketing. But if you look at R&D, the G&A they are very reasonable amounts, the G&A is slightly higher in Q1 because we have around $5 million coming from for instance, a lot of but – throughout the remainder of the year, they want to see that the [indiscernible] March, only the sales marketing was a little bit higher in Q1, because this Chinese New Year you went in the remaining quarter last year, you average our opening expenses, potential revenue was around 15%. So 14% to 15% is something we can think about. So I'll tell you, the fact that 14%, 15% normally 22% you collect 7%, before people have 7% or 8% is what happened.
Yan Li: I think being basically that the Q1 is up quarter, because traditionally Q1 has always been a low sales quarter. You look at the, that the sales has a seasonality. But this year in Q1 - spend quite a bit in marketing because to kick off the Chinese New Year, really try to make sure this year's start with a high note. That's why we kicked up the, that the year of art to be newer things. And coupled with the lower sales season in Q1 by lower I mean with respect to the four quarters within the entire year. That's why in Q1 you see a huge marketing expense. But we spread over the entire year the average marketing expense actually will be put in line with what happened last year.
Bin Wang: Great, thank you.
Operator: Thank you. We have our next question. This is coming from Alice Ma. Please go ahead.
Alice Ma: Hi, management team. Thanks for taking my question. I have two questions here. The first one is could you please remind us of the OTA function like how many times they do, have your done OTA for the previous intellectual scooters and I saw that you have improved some of the intellectual properties of this characteristics of your new products launch in April and could you like how to view that the end consumers are viewing such intellectual characteristics. And my second question is about the batteries you use for different segmentation of your products like for the lower tier products do you still use like the NCM or LFP battery or what kind of battery will you use in the future? Could you please give us some guidance? Thank you.
Yan Li: Right, so I think a group questions first of all on the OTA typically we do a OTA update every quarter or so every two or three months or so. I think it's really just the OTA to upgrade the ECU, that the software in the ECU, as well as some of the software's in the control, motor controllers. So now, as I mentioned in the call some of the additional smart functionality like a color display with the navigation mirror of your phone that actually require not just the OTA software upgrade actually also require hardware upgrade. So that's why we actually build the hardware upgrade into the new model, as well as the existing models. And along with the upgrade, we manage also to increase the product price that will allow us to actually to increase the ASP to offset, so that the downward pressure on the price due to the product mix. And the so far, I mean, based on the some of the upgrade product like the M2S hasn't really come to the market yet it will be in the market in May. The UQi upgrade will also be in the market in May. So we haven't really seen the actual user feedback from the upgrade yet. But based on the user comments from our product launch, as well as user comments from our social media basically, users are actually asking for those upgrades. Even we have users with existing NQi2 products, asking whether their current product can be upgraded by paying, they're willing to pay more than RMB1000 just to get an upgrade on the color display and all the smart functionalities. So I think, we expect those upgrade to be welcomed by the users. Now the second one the battery solutions, I think you're absolutely right. So basically, for the higher end products, like the N series then M series, we tend to use more than NCM batteries, the lithium ion battery, NCM [indiscernible] due to the higher battery densities, such that that we actually can put more battery capacities in the scooter to give the scooter a longer drive range. But we also recognize the cost of [indiscernible] and NCM is a bit higher than our ASP batteries. So for a majority of global series that G0F, G0/G and the potential the G0/C theories, we use the RSP batteries, were actually will help to reduce the cost, such that we can price at a relatively lower price to our users will maintain a similar margin as our higher end price products. Now, what actually, what sacrifice of the compromise we took is, with the LFP batteries, were not able to put a lot of battery capacity into those batteries, because the weight constraint on 55 kilos of the entire scooter. So that, well the user will compromise is actually on the drive range. So on those ones, we try to compensate that with basic the upgraded the V Technology motors, and also the improve the tires such that, for example, low resistant tires, will give, slightly bump up on the dry range. But I think that's practically how we lap the battery solution in order to basically to offer a wide range of pricing products to our users at same time maintaining a healthy margin.
Alice Ma: Okay, thank you a little catch up on the previous question. So you will for sure not using the acid lead battery in the future right? And also, since I also heard some comments seen from the end users that the normal lead and scooters from Niu are having a more accurate, like the battery management system. Comparing with the other products in the market, you could have a better accurate manufacture, like how much the SOC of the battery, so when you use the LFP battery, can you also reach such accuracy in the future?
Yan Li: Yes, I think that's a great technical question. So, when we first adopt using the LFP batteries, we actually realize that the without using a better SOC solution than the reading of the battery compactly is not as accurate as the NCM batteries. So start express, exploring with the LFP batteries last year, actually, last year, so we quickly actually improved the SOC within the LFP battery pack, as long as this is the battery mentioned the system as well as the SOCs in the controllers, so that actually to improve the battery reading capacity accuracies, so our accuracy is 20% higher than what we used to be in the market and that actually would get up almost on par with LCM or NCA batteries.
Alice Ma: Okay, very clear, thank you.
Operator: [Operator Instructions] Seeing no further questions, I would like to hand the conference back to our host. Please go ahead sir.
Jason Yang: Thank you, operator and thank you all for participating in today's call and for your support. We appreciate your interest and look forward to reporting to you again next quarter on our progress.
Operator: Thank you. Ladies and gentlemen, that concludes our conference call for today. Thank you all for your participation. You may disconnect now.